Unknown Executive: Good morning to those in Europe, and good afternoon to those in Asia. Welcome to Jinhui Shipping and Transportation Limited Q1 2024 Results Presentation. Can everyone hear me? If you can't, please send me a -- send a message on the chat. Thank you. Thank you, [ Anthony ]. We have -- I think there's enough participants joined already. So I shall begin. Two more. To go through the highlights, Q1 2024, we recorded revenue of USD 28 million for the quarter, a net profit of USD 2 million for this first quarter, earnings before interest, tax, depreciation and amortization at USD 13 million, basic earnings per share at USD 0.022 per share, gearing ratio as at end of March 2024, 4%. We continue to be very conservative with regards to borrowing, given the uncertainty in interest rates going forward. The group reported consolidated net profit for the quarter of USD 2 million. Chartering revenue increased 93% to USD 28 million for the current quarter as compared to USD 14 million of the corresponding quarter in 2023. There's a good rebound in freight rates as a result in a much better sentiment on the dry bulk shipping market. Reported average TCE of the group's fleet is much stronger this quarter. It increased 86% to USD 12,218 per day in this quarter as compared to USD 6,580 per day for Q1 2023. This decrease in shipping-related expenses mainly due to decrease in owned vessels and vessel operating expenses, such as a lower crew cost under our cost reduction strategy. Other crew manning costs under pandemic were also relaxed since COVID is over, and we are back to pre-COVID levels. There's a net gain on financial assets at fair value through the P&L of USD 1.7 million. Finance costs increased slightly to USD 1.5 million for the current quarter from USD 1.3 million due to rising interest rates. As of end March 2024, secured bank loans amounts to USD 59.5 million with current portion USD 9.3 million and noncurrent portion USD 50.2 million, respectively. During the quarter, we repaid USD 28.7 million of bank borrowings. As of the end of March 2024, we have 22 owned vessels and 6 chartered-in vessels with a total carrying capacity of 1.685 million metric tons. During the quarter, we have contracted to acquire a 2012-built Capesize at a consideration of USD 31 million. The vessel will be delivered to the group during the third quarter of 2024. We also, during the quarter, contracted to acquire a 2019-built Panamax at a consideration of USD 31 million again, coincidentally. The vessel was delivered to the group in mid-May 2024. Subsequent to the reporting date, the group entered into 2 long-term time chartered-in agreements for 2 Ultramaxes. Both vessels were delivered to the group as of today. Finally, in addition, a long-term time chartered-in agreement for 1 Capesize was entered, and the vessel was scheduled to be delivered in Q1 2025. I think these -- the financial highlights, these are numbers on the P&L, are pretty self-explanatory, so I wouldn't go through it. On the key finance ratios, as of Q1 2024, the total assets amount to USD 460 million; net equity, USD 351.6 million; as mentioned previously, the secured bank loans, USD 59.5 million, a significant reduction from Q1 2023; current ratio now at 2.02:1; gearing -- net gearing further dropped to 4%; working capital of USD 33.4 million; and we currently have an available liquidity of USD 47 million. If you look at the -- this chart is our fleet development, very -- should be self-explanatory again. Note that post reporting date, now we have 23 vessels as of May 2024 as of today. Owned fleet, we now have 23 owned vessels. On the owned fleet side, we have 1.36 million deadweight tons at an average age of 13.7 years. In terms of chartered-in fleet, we have 2 Panamax and 1 -- and 2 Ultramax. We also showed you the names of those vessels, specifically PACIFIC JASMINE, EVER SHINING and TAHO CIRCULAR. The total capacity for chartered-in vessels are 610,000 (sic) [ 610,123 ] deadweight tons. As of Q1 2024, the maturity profile has -- we have further stretched to a more conservative mix. So 16% of our loan will be repayable within 1 year and 84% will be repayable within 2 years. In terms of cargo mix analysis, 40% of our cargoes are minerals, 29% coal, 19% steel products, 4% cement, 3% agricultural products, fertilizers, 1%, and other 4%. I hope you like our new charts. I personally find them very, very well done by my colleagues. Distribution of cargo: 45% Asia, excluding China; 22% China; 5% Australia; 5% Africa; 4% Europe; 4% in North America; and 15% in South America. I want to take the opportunity before I forget, just going on this chart, one of our shareholders asked about the rationale behind growing Capesize as well as Newcastlemaxes for -- other -- different size this fleet, different size ships other than Supramax. I think if you look at our cargo distribution, we want to be more diversified in terms of geographical presence as well as the cargo mix. So looking at this chart and the other chart, there's a thinking behind apart from a general opportunity to grow in other sectors of ships, other size ships, it's always positive to have some kind of diversification, just like your own investment portfolio. For us, the only assets that we invest in are ships. So it also would be nice to have ships that are more flexible in terms of traveling to the harsher ports like North America and Australia and carry more cargoes, such as grains, iron ore, et cetera, et cetera. So we want to have some kind of diversification in terms of distribution of cargo, a younger age vessels as well as geographical presence. In terms of discharging ports, 43% of our cargo are discharged in Asia, 38% in China, 1% in Europe, 8% in Africa, 1% in South America and 9% in North America. In terms of time charter equivalent of our fleet, as of Q1 2024, the Panamax fleet TCE is USD 17,081; Ultramax/Supramax, USD 11,819; average USD 12,218 per day. In terms of running costs, as of Q1 2024, the daily vessel running cost of our owned vessels has dropped to USD 8,167 per day comparison of the corresponding quarter in 2023 as of also the 2023 annual average. This is a significant -- this is a big drop, significant drop, in fact. We worked very hard on this cost reduction for obvious reasons. But of course, this is also due to -- partly due to the post-COVID effect, where a lot of the unusual and extraordinary expenses due to COVID measures are no longer required. In terms of outlook, I think you can see from the way we've been managing the -- we do want to grow, both in terms of carrying capacity, opportunistically renew or refresh our fleet profile. We do want that. But at the same time, because the world is very complex right now, we wish to -- we want to be as conservative as possible. Hence, we maintain a very, very low gearing. The financial markets, money markets complex, interest rates uncertain, so we believe we have to take actions one step at a time. Ship values in secondhand markets remain stable. We do believe that given the very, very strong asset prices as of today, there's an indication that freight, the actual freight that the ship is earning, should point positively in coming quarters. We certainly hope that we are right. Touching on this point, again. Another shareholder has send me an e-mail to ask about what -- theoretically, a lot of the ships should have increased in value, et cetera, et cetera. And I think I understand from his perspective, he's asking would there be any revaluation in assets. I hear his theory behind this, but I hope investors should realize that we report our financials on a quarterly basis. It's unwise to base -- it's unwise, and actually, that also does not make good sense to revalue assets based on 3 months, even 6 months of observation. So until we see or there's evidence that there's a very good support in terms of solid long-term asset price increase in terms of ship values, which is measured in various ways. You can measure this in terms of transaction done in the market, secondhand transaction, what the yards are asking you for newbuildings and then discount accordingly, et cetera, et cetera. But at the end of the day, ships are cash flow-generating assets. So from a cash flow perspective, you may -- some may call it DCF, et cetera, discounted cash flow. Until this -- there's sufficient evidence to put this into a spreadsheet, that the long-term asset values are very, very solid and have increased significantly from the last reporting date, we will -- we do not believe in introducing unnecessary fluctuation to asset values. Now changing asset values would have to go for P&L nowadays. It does introduce unnecessary volatility to the P&L. We continue to look for young and efficient secondhand tonnages. On this front, again, I would like to stress that we would do so opportunistically. And finally, we will continue to maintain a conservative financial position at all times. Again, I previously stress that we do want to grow our asset base. We want to grow the business, if I would like to put it simply. But at the time -- at the same time, we want to do so safely.
Unknown Executive: [ Lawrence ] has -- Thank you. You have 2 questions. Update on the status of the legal case of Parakou and what impact that would bring to the financial of the company as to quantum and dates. Two, regarding the new acquisition of the Capesize, what is the company's business plan for this segment? This is more of the comment than question. Could you refer the management originally providing some dividends to create more liquidity for the shares. Thank you, Lawrence. Let me do this in reverse order. Dividend, the more profits that Jinhui will achieve and subject to the Board of Directors' decision, I also hope that I could deliver good news in terms of dividend payout in coming quarters. New acquisition of the Capesize, I think I already answered this question in terms of -- is -- the rationale is like not -- it's three-folds, right? Overall, we want to refresh our fleet. We want to carry other different cargoes like clean cargoes, fresher ships that wouldn't pose too much challenges in -- challenge to visit or calling ports, such as Australians or American ports, and carry grain, et cetera. I think you understand. Status of the legal case with Parakou. We are working on bringing an end to the legal case of Parakou. Details, because this is a multi-jurisdiction legal case, so it's a little bit complex. Once this is done, we will let shareholders know as to the date -- exact date and also the quantum. Despite the case, which has been -- well, I would call this a legal case, but I actually personally call this an ongoing saga, the ever-ongoing saga between ourselves and Parakou, where I think both sides have decided that it's time to bring this to an end. Although the actual quantum, that's rolled based on interest rates, is -- it's huge, however, after all these years, the realistic sum that we can achieve is much lower than that. It would not -- this will not create a huge significant windfall to our P&L or to our balance sheet. However, it's still a fairly welcoming sum, which, once the dust settled, we will report this accordingly in our next report, hopefully. I hope I've answered your question. Okay, [ Anthony ], it has increased -- rising recently, shipping capacity has become tight. Jinhui has recently purchased and leased a number of ships. How long do I think the tight shipping capacity will last? And what further steps does Jinhui have for purchasing and leasing new ships? I wish I have the crystal ball. Of course, I wish this tight situation will be as long as possible. I -- given the newbuilding berths available in various shipyards around the world stretches, the delivery time of new ships now stretches to quite far, given that berths are mainly occupied by our friends in container shipping as well as tankers, LNGs, et cetera, so bulkers newbuild deliveries are tight, given that berth is not easy and the delivery times are quite far away. On this basis, we hope that at least -- I do not wish to predict anything beyond my understanding. But I would hope that for the next coming quarters, we are also hopeful that there will be a positive movement in terms of freight rate. [ Thor ], one short-term chartered, which is not listed on our chartered list comment. I think it is very short-term. It doesn't have any booking on the balance sheet or it is basically come and go, within a very short-term. We have not reported that. I'll have to look into this, to be honest. Actually, I -- we have so many ship movements that right now I've forgotten about that one. Increased share of bank borrowing on latest ship purchases. They're not delivered yet. I think our plan would be to borrow no more than 60%, no more than 60% from banks.  Thank you, [ Thor ]. I think we always report on the conservative side, maximum 70%. But I think given our financials, I think we will probably go for 60%. It could change. I don't think this is, to be honest, anything -- it depends on what the bank would offer us, what rates, what tenor. To be honest, given the high SOFR, our minds would change depending on the margins they're asking for. To be honest, if we can have lower leverage, we will probably go for lower leverage. It's a very complex decision. So we haven't decided on that yet, Thor. For example, the Capesize, we bought at $31 million. It has substantially increased in asset value. But when we borrow against the market value, probably not. So 60%, 70% or even 50%, to be honest with you, we'll have to work it out as then the offers come in. Are banks more interested in us as a customer than in the last few years? Interesting question, [ Thor ]. Firstly, I wonder why would you ask whether they're interested in us more now than in the past. I think banks have been -- banks are very smart. They know how to select customers as long as they can pay back. So I don't know how to answer your question like this, to be honest. But we have a few banking friends. Thanks. I love this Scandinavian way of questioning. Very straightforward. I like it. Actually, maybe I can add in a little more here, [ Thor ]. I know you're a very precise person based on our e-mail exchange. If the freight rate strengthen quicker than we think, cash -- if our cash flow comes in more, we will have different decisions as to when these -- as to -towards the delivery of these ships in terms of the leverage amount or leverage level. Again, I think I hope you understand my -- our perspective, our strategy. We would like to grow the business, but we would like to do so safely, and that means maintaining a fairly conservative leverage. No, thank you for asking me these questions, and it's my job to answer you. Anyone else has any further questions? Okay, if there are no more questions, then I'll call this an end to this Zoom presentation gathering. Thank you very much for joining. And if any shareholders, investors have any further questions, you're all welcome to e-mail me. Thank you very much. Good day, and good evening.